Operator: Good morning ladies and gentlemen and welcome to Cohen & Company's First Quarter 2018 Earnings Call. My name is Nicole and I'll be your operator for today. Before we begin Cohen & Company would like to remind everyone that some of the statements the company makes during this call may contain forward-looking statements. Under applicable securities laws these statements may involve risk and uncertainties that could cause the company's actual results to differ materially from the results discussed in such forward-looking statements. The forward-looking statements made during this call are made only as of the date of this call and the company undertakes no obligation to update such statements to reflect subsequent events or circumstances. Cohen & Company advises you to read the cautionary note regarding forward-looking statements in its earnings release and in its most recent Annual Report on Form 10-K filed with the SEC. I would now like to turn the call over to Mr. Lester Brafman, Chief Executive Officer, Cohen & Company.
Lester Brafman: Thank you Nicole and thank you everybody for joining us for our first quarter 2018 earnings call. With me on the call is Joe Pooler our CFO. This past quarter the combination of increased interest rates and volatility in the equity markets suppressed our trading volumes resulting in lower revenues in our broker dealer. Now that being said we continued to increase the balances of our GCF matched book repo business and we remain optimistic about our pipeline going forward. In addition, we continue to focus on the development of several new revenue sources that are less dependent on the day-to-day fluctuation of the financial markets. While we are disappointed with our results in the quarter, we remain committed to enhancing stockholder value, and in the first quarter continued to pay our quarterly dividend. Now I will turn the call over to Joe to walk through this quarter's financial highlights in more detail.
Joe Pooler: Thank you Lester. Starting with our statement of operations, our operating loss was 360,000 for the quarter compared to operating income of 2.1 million for the prior quarter and operating income of 2.6 million for the prior year quarter. Our loss before income taxes was 2.2 million for the current quarter compared to income before income taxes of 251,000 for the prior quarter and income before income taxes of 976,000 for the prior year quarter. And our net loss was 2.2 million or $1.26 per diluted share for the current quarter compared to net income of 1.6 million or $0.90 per diluted share for the prior quarter and net income of 971,000 or $0.52 per diluted share for the prior year quarter. And each period presented our fully diluted shares outstanding, changes depending on whether or not the conversion shares from our 2013 and 2017 convertible notes are being dilutive. Net trading revenue came in at 6.2 million in the first quarter down 560,000 from the fourth quarter and down 1.9 million from the first quarter of the prior year. Our asset management revenue totaled 1.8 million in the quarter which was up slightly from the prior quarter and down 888,000 from the year ago quarter. In the year ago quarter there were some one time performance fees related to our European separate accounts which did not recur in the current quarter. New issue and advisory revenue was 696,000 in the first quarter of 2018 which was down compared to both the prior and year ago quarters. Our new issue and advisory revenue has been volatile and we expect that trend to continue. We earned revenue from a limited number of engagements and a small change in the number of engagements can result in meaningful fluctuations in the revenue recognized. First quarter 2018 principle transactions revenue was 449,000 which was up from the prior quarter and down slightly from the year ago quarter. Other revenue was 198,000 in the first quarter compared to 623,000 in the fourth quarter and 2.1 million in the first quarter of 2017. The higher revenue in the first quarter of the prior year was primarily due to the final earn out payments from the past sale of the Wasco [ph] management contracts in addition a significant portion of the variation across quarters is the result of revenue share payments related to our past sale of Star Asia Group. Compensation and benefits expense for the first quarter of 2018 was 5.2 million, up 160,000 from the fourth quarter and down 2 million from the first quarter prior year. The quarterly changes were primarily the result of the variable compensation model we have in place and relate to our variations in that training and new issue and advisory revenue from the comparable periods as well as headcount changes. Compensation as a percentage of revenue was 56% in the first quarter of 2018 compared to 43% in the fourth quarter of 2017 and 50% in the first quarter of 2017. The number of current employees was 92 as of March 31, 2018 compared to 88 as of the year-end and 80 as of March 31, 2017. Net interest expense for the first quarter of 2018 was 1.8 million including 800,000 on our two trust preferred debt instruments, 560,000 on our 8% convertible notes, and 440,000 on our redeemable financial instruments. In terms of our balance sheet as of March 31, 2018 our total equity was 45.7 million, a decrease of 2.4 million from year-end. We had 57.3 million of equity capital invested in our net trading portfolio including our match book repo activity and 29 million invested in our principal investing portfolio. The other investments of fair value line item in the balance sheet represents our principal investing portfolio. As of March 31, consolidated corporate indebtedness was carried at 44.4 million and we had 11.8 million of unrestricted cash on the balance sheet. We announced the $0.20 dividend for the quarter and we'll continue to review the dividend policy on a quarterly basis. The dividend is payable on May 30, 2018 to stockholders of record on May 16, 2018. Finally we expect to file our 10-Q no later than Friday of this week. With that I'll turn it back over to Lester.
End of Q&A : Thanks Joe. Please direct any investor questions to Joe Pooler at 215-701-8952. His contact information is at the bottom of our earnings release or via email to investorrelations@cohenandcompany.com. Thank you for joining us today. Operator you can now end the call.
Operator: This does conclude today's conference call. We thank you for your participation and ask that you please disconnect.